Operator: Welcome to the Barrick Gold 2021 Third Quarter Results Conference Call. During the presentation, all participants on the phone are on listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference call is being recorded, and a replay will be available on Barrick’s website later today, November 4, 2021. I would now like to turn the conference over to Mark Bristow, Chief Executive Officer. Please go ahead.
Mark Bristow: Thank you very much. And I must say, it’s a very good morning to all of you here, although it’s good afternoon. Sorry. And welcome to -- again, it’s so nice to be. And it’s almost a little bit plumper, maybe a little bit water for some people, but good to see, and thank you for coming to share this time with us. And also, good afternoon to those further east of here, and a very good morning to friends and colleagues back in the States. I welcome you all to Barrick’s quarter three results presentation. As you know, the world has been living with COVID for a year and a half now. And even though the vaccination’s fight back has had some success, the pandemic continues to impact our lives and our businesses, most recently through the current supply chain crisis. At the same time, the mining industry has also had to accommodate the primacy of ESG as an investment criterion, while struggling to meet performance focused on the next quarter. Perhaps not surprisingly, many companies, including some industry leaders, are making promises that seem to be based on wishful thinking, technology still to be invented, answers yet to be discovered, the hope that the next generation of managers will find solutions before the delivery deadline’s gone. Barrick on the other hand has always been a contrarian. And as I will show you today, the promises we make are anchored in and guided by commercially and scientifically achievable plans. Please take note of our cautionary statements. And for those who would like to study us in more detail, it is available on our website. So, prominent among those plans is our carefully considered and rigorously implemented sustainability strategy embedded in every part of our business as a function, which is not solely a corporate responsibility, but it has to be owned at the stock level. Central to that strategy is our concept of partnership. This is no new thing. Barrick has always known to be sustainable. It must be trusted and valued and a long-term partner to its wide range of stakeholders, noticeably as host countries and communities. Our investments in these partnerships take many forms. In addition to the community development programs at all our mines, we build the skills and capacity of our host country workers and vendors to multiply our positive impact on local, regional and national economies. Our policy of prioritizing local recruitment has produced workforces dominated by host country nationals, including and probably more importantly at the leadership level. Last year, $4.5 billion, 75% of our total procurement spend was invested on goods and services from local suppliers. We engage at the local level with our community stakeholders in an open and transparent manner to discuss the mines’ risks and opportunities, and resolve problems. The world has come a long way from the days when a corporation’s only responsibilities were to make a profit, pay tax, and obey the law. Barrick creates real value for its partners, not only through the economic benefits it shares, but also through its conscientious care of their environment. Our employees, by the very nature of the way we do business, are also stakeholders in our business, and their wellbeing is a prime concern. Although our safety trend has improved steadily since the merger, we experienced two fatalities during the past quarter, one, I spoke to you about last quarter and one that happened subsequent to that. We held a Group-wide workshop to analyze the causes of these unfortunate and tragic events and to develop actions to prevent a repetition of such events. As far as COVID-19 is concerned, we continue to manage it with limited impact on our operations so far. The priority now is to get all our people vaccinated. To-date, 35% of our employees have been fully vaccinated, while an additional 13% have had their first jab. The LATAM region is leading the vaccination drive across the Group with 67% fully vaccinated. Even with the delay from the COVAX program, the AME vaccination rates are progressing well. However, back in the United States, Nevada Gold Mines is lacking with only 32%, either partially or fully vaccinated. We believe that this event is primarily due to vaccine hesitancy, and our team continues to sensitize our employees to the safety of the vaccine. On the environmental front, there were no Class 1 incidents during the quarter. Our water management strategy to minimize fresh and maximize recycled water consumption has delivered an increase in the recycling and reuse rate to 83% from 78% in 2020. And we are on track to achieve or even beat the target of 80% we have set for water efficiency across the Group for 2021. Also during the quarter, an independent human rights assessment and training program was completed at Pueblo Viejo and Loulo-Gounkoto, and it’s now being rolled out at the other operations across the Group. We have also set 30% GHG emission reduction targets for 2030. And one thing that separates us from others, as I pointed out in my introduction, is we have this roadmap, which shows how we intend to get there. It’s important to note that this is based on projects that have been either implemented or are under construction, and does not require a change in our production profile. To date, we have a clear roadmap, as illustrated here, to a 25% emission reduction. And we’re confident that we’ll at least deal with the other 5% remaining well before 2030. And sort of things that you won’t see on is Sandvik joint venture, for instance, underground equipment, a lot of equipment related reductions, because we’re still in the process of developing that technology to ensure that we can deliver against our plans. A question that was asked to me earlier today was, how much is this going to cost? And the critical answer from our point of view is this all comes with better efficiencies and lower operating costs. So, it’s a genuine investment, not only in the future, in a responsible future, but also in a better business for Barrick. Operationally, it was another solid quarter, despite some challenges, and it was also very busy, as you can see from the long list of KPIs on the slide. The African and Middle East and Latin America regions are both trending towards the top end of their guidance, while Nevada posted a strong quarter-on-quarter improvement, albeit trending towards the bottom end of guidance. Altogether, Barrick is well-placed to achieve its annual production guidance. It was also a good quarter for our exploration teams, as I’ll show you later. More than two years into the merger, we’re now pretty much where we wanted to be, with the strong foundation of world-class mines and a robust pipeline of quality projects and prospects. Notable features of the operating results are the well contained cost, the ramp-ups at Veladero and Bulyanhulu, Nevada Gold Mines effective management of the fallout from the failure of the Goldstrike mill, and the significant contribution from our copper operations. All-in-all, we’re set for what should be a strong finish for this year. The financial results show a robust free cash flow, which continues to support an already very strong balance sheet, as well as the exploitation of growth opportunities. It’s worth noting that the final tranche of the $750 million return of capital to shareholders, combined with our sustainable quarterly dividend of $0.09 per share represents a record total cash return to shareholders of $1.4 billion during 2021 for Barrick. In other words, Barrick has never returned more to its shareholders than that amount in a single year. We turn now to operations, starting in North America, where Nevada had a slower first half of the year, as we explained on the back of our decision to bring forward the major planned shutdowns into that period. However, despite the failure of the Goldstrike mill, which repairs were completed at the end of quarter three, it clawed back some production with a stronger quarter-on-quarter performance in quarter three, which is a real tribute to the expertise and ability of the Nevada Gold Mines management. Hemlo in Canada was negatively impacted by COVID-19, as I’ll explain to you later. But up in Alaska, the Donlin project continues to make encouraging progress. In Nevada, we’re showing growth across all of our complete core district, with exploration teams succeeding in their drive to reinforce and extend the current life of mine plans by finding additional ounces while also hunting for new standalone discoveries. And Carlin boosted production and lowered cost, despite, as I said earlier, the downtime on the Goldstrike roaster on the back of the improved throughput. While the one Goldstrike mill was done, as we explained last quarter, Carlin focused on processing all with higher carbonaceous content. And you know that often we’re constrained because we have to blend. So, we took that higher carbon content with higher grade, and because we had a longer residence time on the lower throughput we were able to process it with better recoveries. We’ve stockpiled on the other hand the higher grade ore with lower carbon content. And it’s that ore that we’re now processing through the plant, and it’s that ore that’s going to drive the significant improvement in production for quarter four. So, a very efficient way of handling what was an unprecedented failure in one of our big SAG mills. North Leeville is on track to deliver its maiden resource by the end of the year. And this is one significant benefit of the merger -- of the merger of the assets between Barrick and Newmont. The past quarter delivered a world-class intercept. In fact, it’s the best intercept made in Carlin to date, and the definition of a very high grade zone within an area of continuous mineralization, which is open in all directions. Follow-up drilling is now underway, with an additional step out scheduled for early next year. And this is part of a bigger upside potential of the greater Leeville complex, which continues to be highlighted with our ongoing work around the footprints of Leeville and Turf. The potential in this greater Leeville area stands at approximately 25 million tons at 7 to 12 grams, with more to come as a very large resource and reserve definition drilling program continues to expand the existing footprint in all directions. Staying in the Carlin complex, underground resource drilling at REN has confirmed our model and there’s significant upside potential on the western side of the deposit, next to the infrastructure. And I must say, this was an exciting time for our exploration team. We had this big development into REN, called the Road to REN. And at some stage, some of the people are suggesting, maybe it was a road to nowhere. But, with the latest results, we are super excited. And again, we expect this project to also report a maiden resource by the end of the year. While we work on the technical aspects of the opportunity, in other words, it is very close to infrastructure and has real potential to add to the profile of the Carlin life of mine plan in the short term. After the quarter, NGM completed, as you would have seen the South Arturo/Lone Tree asset swap, which streamlined the portfolio and secured the 40% of South Arturo that it did not already own. Recent drilling has identified a new ore controlling structure that could again extend this mine life of this asset. Turning to Cortez. Last quarter, Cortez was also impacted by the Goldstrike mill failure. But, like Carlin, management mitigated this by prioritizing the processing of underground oxide ore at the oxide mill and stepping up our heap leach production from the open pit, and in the end, succeeded in boosting production by nearly 20% over the previous quarter. The resumption of the processing through the Goldstrike mill and a continuing increase in heap leach production has set Cortez up for a strong finish to the year as well. At Cortez Hills underground, testing of the Hanson and Voodoo fault targets below the mine has also proved to be successful, opening up the area for expansion, both along strike and down dip. And then, over at the Goldrush project, the U.S. Bureau of Land and Mines finally published a Notice of Intent in August and following the completion of the public scoping exercise, a draft environmental impact statement is being prepared for publication in January next year. The feasibility study showed, as we expected, that the project covered by the plan of operations and the EIS constantly passes Barrick’s investment process. We have fed the first metallurgical batch sample through our Goldstrike roaster, and results were as predicted, and are thus on -- and so are on track to increase the underground reserves with our year-end reserve resource update. This is obviously going to be a very valuable addition to the Cortez complex and one that offers further upside and which will support Cortez’s Tier 1 status well into the future. We continue to explore options for linking Goldrush and the nearby Fourmile through underground access. Fourmile is not part of the Nevada Gold Mines, and for the time being is still owned by Barrick. At present conceptually, we envisage completing the feasibility by developing across the Nevada Gold Mines Barrick border in 2024, 2025. And first potential mining of Fourmile ore is scheduled towards the end of our 10-year plan. Turquoise Ridge is another of the Tier 1 mines in NGM. But the luxury of its higher grades and low cost covered up a multitude of sins in the past, and bringing it up to our standards has been a big job. It’s been a job which required a geological, operational and cultural transformation. It’s been improving steadily since our intervention and is going to be a real value driver for NGM in the medium term. The commissioning of its number 3 shaft scheduled for late 2022 will be a game changer by increasing the underground mine’s hoisting capacity and reducing haulage distances, together with significantly improved ventilation. We’ve been -- as I mentioned earlier, we’ve been trialing for electric trucks at Turquoise Ridge. And they’re always great when they work. But, we haven’t achieved the availability that we need yet. And then, this is an important aspect of what the mining industry faces. We have a partnership with Sandvik, and TR, despite its ramp-up drive is also essentially in R&D laboratory. And our commitment to Sandvik and likewise to Sandvik to us is really we need to persevere with this work, as I said, when these trucks work, they are amazing. And there’s lots of little things that we can improve on. At the same time, as part of the commitment, Sandvik has supplied us with additional conventional trucks so that we can keep going with this experiment. And we look forward to the time when we have -- and we’ve got five of them. So, it’s a very significant commitment both from NGM and Barrick as well as from the Sandvik Corporation. In the meantime, exploration has revealed significant potential in the gap between Turquoise Ridge and Twin Creeks. And we’ve now identified some very high -- two in fact, high priority targets for testing this quarter. I personally am very excited that our prediction that this could prove to be one of the most prospective ground positions in Barrick’s portfolio, looks to be on the mark. So, let’s watch the space. And these are NGM’s two smaller mines. Phoenix is a low cost producer and a solid performer with a 10-year life of mine. And as it’s shown again this quarter, it’s a very consistent deliverer of values, and it’s also a copper and gold business. And we’re currently looking at back at the tailings dam, because it does contain some other strategic metals. Long Canyon on the other hand is a very high margin operator, has been for a while, but it’s got limited life opportunities, and we don’t see it as a long-term asset within NGM. And we’ll be reviewing and making a decision about its future early in the New Year. We move now to Canada, and Hemlo, where the operation was significantly impacted by COVID-19 restrictions, which slowed down the ramp-up of underground development. As you recall, we made a decision to bring in an Australian underground contractor to help us transition the mining -- sort of old style mining strategy into a more modern focused mining exercise as we have across the Barrick group and in particular as we proved to be world class in our African operations. It was a combination of the Canadian restrictions and a very draconian approach to COVID by the Australians, we couldn’t get the people in a proper way. And so, it really caught us. And so, we’re now starting to get that right. But, we’ve lost an opportunity because as you know, we had closed down the open pit. We’re moving to underground. And so, lastly back on track. It’s going to take us some time, as much as 18 months to really get us back and pick up this momentum. Hemlo for us is a significant what we define as a strategic investment. Two things, as you know, I’m very bullish on the Canadian market, and Barrick is underinvested in it. And secondly, we need to develop an expertise to manage operations in Canada. And the one area where Hemlo has delivered is in confirming its resource growth potential. Infill drilling, as you see on the eastern zone, is on track to add a new mining area, with exploration also focusing on the western limits of the deposit to expand the orebody. And then, further to the east, on the other side of the old David Bell mine, we have also a focus for exploration. And if we can deliver what we think is there, we have no doubt that it would lead to a significant transformation of Hemlo. And just for those who don’t know Hemlo, it’s sort of lived in spite of what it did because of a very high grade of the orebody. And so, we found just focusing in on all the information and consolidating has pointed us into some directions that we think could deliver some significant additional resources. Also, as I touched on earlier, and I’ve said many times before, I believe that Barrick is underinvested in Canada, which is our home country, as well as a mining friendly jurisdiction. Our exploration and new business teams are looking for opportunities to add or consolidate brand in one or more of the very prospective Canadian gold belts. And then, over to Alaska, and to Donlin Gold, which is one of the largest undeveloped gold deposits in the world with the reserve potential of well over 30 million ounces within one single large open pit. Drilling this year is focused on understanding the geology, and we aim to update our geological, geotechnical and resource models during the first half of 2022. And currently, the open pit models are still data constrained. And the Donlin Board has not approved on the back of the recent work, funding for additional drilling and study work into 2022, to prepare for further advancement of the project up the value curve. Staying in Americas, but moving to Latin America, which is a region full of opportunities, but, as you would have appreciated over the last few months, also some really significant challenges. We have made a number of solid strategic and investment decisions to maximize the former and minimize the later. And the ramp-up of the new leach pad has driven up production at Veladero and the planned expansion of Pueblo Viejo will extend this Tier 1 mine’s life into the 2040s and beyond. And we expect to convert around 9 million ounces of measured and indicated resource to the mine’s proven and probable reserves on the permitting of the new tailings facility. And then, the sale of Lagunas Norte has enabled a further rationalization of our portfolio in this region, and again, realized value and removed some significant liabilities from a non-core asset. And these are the Pueblo Viejo operating results, which confirmed that it’s 2021 production is trending well within guidance and costs towards the bottom of guidance. Construction of the processing plant expansion is progressing and completion is expected by the end of 2022. Although there has been, as I indicated in my introduction, some impact on the delivery schedule because of COVID-related issues. The mine is also negotiating additional tailings capacity permitting with the government and local stakeholders. The Dominican government and Pueblo Viejo have agreed on a government-led independent strategic environmental assessment of Pueblo Viejo’s mine life extension project. The terms of reference for the assessment have already been published by the government, and the 10 firms that have been invited have submitted their proposals, and we expect the selection of the successful bidder this week or next week. The updating of the PV district geological model earlier this year has also led to the definition of a series of structural corridors, which have extended the potential between Zambrana, which is a very significant exploration target and the new area called a Arroyo del Rey. We have started drilling on those new targets and we expect to start getting results when we speak to you early next year. As I noted earlier, Veladero had a good quarter on the back of the new Phase 6 heap leach facility, which we commissioned in quarter two. And the work has already started on Phase 7 expansion, which will further support its build back to its historical production levels. And you would remember that objective of this is to reestablish a new infrastructure for the next 10-year life of Veladero. As you will recall, Veladero’s connection to Chile’s national power grid was delayed by COVID-19 restrictions, and construction has now finally been completed, and commissioning is expected in quarter four. This cheaper, cleaner energy source is expected, as you would have seen on the roadmap slide to reduce Veladero’s greenhouse gas emissions by around 100,000 tons of carbon dioxide a year. Veladero is also scheduled to beat its guidance for 2021, which is a significant achievement when you consider the multitude of challenges we had, as COVID was -- first impacted Argentina and the response by the Argentina government coinciding with the start of winter in Argentina. Again, a great tribute to the management, our Argentinian management. The Pascua-Lama project straddles the border between Argentina and Chile, with Lama on the Argentinian side between Veladero and Pascua. And this project owns partially both plant and infrastructure facility, which when complete, should be able to process a wide range of ore types. Pascua-Lama in its many geological targets and resource options is currently being reviewed, from top to bottom, and we plan to be ready with a way forward at the back end of 2024. The project faces significant technical and environmental challenges, as I’m sure you would have picked up in the press. But again, it has the potential for world class status, and we have options of how we can bring it to account. Whilst we continue to focus, and this will remain the case out to 2024, our exploration on the San Juan province and the Veladero, Pascua-Lama district, in addition to searching for more satellites for Veladero, we have also branched out across the El Indio belt of Chile and Argentina in our search for other world class opportunities. We also recently extended our South American footprint to Guyana, where we recently secured 63,000 hectares of prospective ground on a fertile structural corridor within the Karouni Basin. A geological and geochemical screening program is currently in progress. The Karouni Basin, for those who don’t know it, is a well-known geological trend. And it is very similar in geology to that of West Africa, where as you all know, we’ve been exploring successfully for many years. So, it’s fair and square in our comfort zone. As you would have seen from all the press, and I think there’s a lot of that, so I’m not going to repeat it all today, we continue to work hard to reopen the Porgera mine in Papua New Guinea, which as you know, has been on care and maintenance since April 2020, when the government declined to renew a special mining lease. The biggest focus now is to settle it on a SML, sound special mining lease. And that’s a combined commitment, both from the government and from BNL, which is a partnership between Zijin and Barrick, which Barrick leads. And we’re all clear that we have to do is the complicated process because as you know, Papua New Guinea’s mining front has a big focus on the inclusion of landowners in the process. We’re well down the road on the consultation process. And Barrick, as part of our proposal to the state, also had an agreement -- or has an agreement with landowners, which supports that -- the initiative of getting the mine back up and running. And I think we’ve got to that stage where everyone is very clear that this economy needs which was and used to be the biggest driver of the PNG economy. And so, we’re very focused on getting it back on track. As I explained in my introduction, our African and Middle East operations again proved their steady performance status and continue to deliver a strong cash flow stream to Barrick as well as an abundance of new opportunities. And that was the logic behind the Barrick merger with Randgold was we had a highly profitable portfolio, a very solid balance sheet full of cash, and Barrick had the world class assets and the combination of those two, we would unlock, as you see we’re doing now, the significant value embedded in the Barrick portfolio. In Mali, Loulo-Gounkoto is heading to the top end of its production guidance. And at the same time, it is maintaining its focus on efficient energy management, with its planned expansion of its very successful solar power plants installation and its battery storage project which we’ve dragged across from Kibali, where we’ve rarely made a lot of progress in managing our power storage capacity with battery technology. We see this region as one of the world’s most promising gold districts. And in a recent meeting with the country’s Minister of Mines, he confirmed his commitment to Barrick as a partner, while I explained our interest and continuing to invest in exploration across western and southern Mali, and our hunt for the next Loulo-Gounkoto mine. At Bambadji, in Eastern Senegal, Kabewest is emerging as a significant gold system with exciting potential to move forward to discovery status. High grades have been confirmed to a depth of 200 meters and remain open at deeper levels and along both strike distances. We will continue to evaluate this project and the other related satellite targets during the current field season, and we’re right in the middle of that field season, as we speak. In Tongon and Côte d’Ivoire, the mine produced a solid set of results for the quarter. Successful exploration and mineral resource management of the satellite pits at Tongon has extended its life by another to 2024. And a pipeline of new targets along the prospective Stabilo trend in proximity to the Tongon plant has been targeted for follow-up this quarter. At the Seydou North, target on the same trend, we’ve outlined a new inferred resource and started to step out drilling down plunge to trace this high-grade shoots of mineralization, which opens at depth. We’re also looking at multiple targets on the adjacent Boundiali permit, which could feed ore by truck to Tongon. And in the Democratic Republic of Congo. Kibali is on track to deliver on its production guidance and it continues to demonstrate significant upside potential. The past quarter saw a big cost improvement, thanks to higher grades and increased hydropower generation through the wet season. And as I’m sure you all would like to ask on the cash, we continue to have constructive discussions with the government about releasing the money currently held in DRC. When I say that it’s held in our account in U.S. dollars, and we now have agreements in principal on a way forward, including the approval to pay dividends, and we now wait the final approval on the repayment of loans. And the point here is that we are very focused on doing this properly. It was a situation that was caught up by the sudden move to pass a new mining code in 2018, and then the constipated political management system that followed until the recent appointment of a cabinet, that was aligned with the leader President Tshisekedi, and had the support of parliament. And since then, we’ve seen a new Prime Minister get appointed from the Mining Industry and a new Governor of the Reserve Bank from the IMF. And we are very comfortable with the quality and the commitment of the new management team. And you would have seen that at G20 and COP26 has been a big promotion, a real promotion of the Congo mining industry and really promoting new investments, something that hasn’t happened since the 2018 code was initially passed. So, we’re very comfortable. And again, I’ve been locked that the whole time I’m comfortable, we’ll solve this problem. And by the way, we do have all the legal documentation that gives us the right to repatriate. In the Democratic Republic of Congo, we have a lot of prospective land positions in and around Kibali. And in the last two quarters, our geologists have really shifted the balance in our 10-year plan to a point where we have an equal amount of feed from open pitiable material along with the higher grade underground resources and reserves. So, that’s quite significant to keep that balance, because it keeps the flexibility. And just to give you a background, Kibali is a 800,000 ounce producer, so it’s one of the biggest gold mines in the world. Brownfields exploration has also continued at Kibali with the follow-up drilling underway at Kalimva, which is a new target. And again, as you see, this target is really starting to show continuity, both along strike and as well as down dip. And indications are that the grades could be sufficient to support both, extended open pits operation as well as support an underground one. In Tanzania, North Mara increased production on the back of higher grades, better recovery rates, and improved ore delivery from underground, as we get this one back on track. We’ve redesigned the interface between the Gokona underground mine and open pits, and achieved a better balance between the two ore sources. And both, Gokona and Rama cutbacks are currently being evaluated and are on track to deliver robust extensions to the life of mine plan. The mine remains on track to achieve its production guidance. And Bulyanhulu is one of our big success stories. Two years ago, as you’ll recall, it was a rundown tailings retreatment operation. But today, thanks to a major turnaround effort by the regional team, which included reestablishing the shaft and rehabilitating the plant, it is a real underground mine again, ramping up to steady state annual production of between 220,000 and 260,000 ounces of gold from next year. And the latest geological model indicates that its mine life could potentially extend to 2040 and beyond. Bulyanhulu is getting ready for an updated reserve declaration, which again, like all the other major assets in Barrick, expects to show strong growth in excess of depletion. And another success story is the Lumwana copper mine in Zambia. While we still need to unplug some processing bottlenecks, it is capitalizing effectively on higher grades to boost throughput, and the fourth quarter is likely to be its best quarter ever. You would have also seen the recent announcement from the Zambian government on allowing us to deduct royalty costs for income tax purposes, which will be a material benefit to our cash flows out of Lumwana. We have also recently established a significant exploration team at Lumwana to probe multiple opportunities to extend its life. A number of exciting targets, some with a potential for higher grades and better strip ratios, have already been defined. And we believe the mine has a good prospect of joining the premier league of African copper producers going forward. As for our other copper operations Jabal Sayid in Saudi Arabia and Zaldívar in Chile are consistent at performance and continue to make a valuable contribution to Barrick’s bottom line. At Jabal Sayid, Lode 1 one and Lode 4 eastern extensions have been added to the life of mine and additional opportunities for near-mine growth have been identified. Zaldívar’s chloride-rich project remains within budget and on track for completion in the first half of next year. And in line with Barrick’s strategy of expanding its global presence, we recently acquired four exploration blocks in Egypt, preparing the ground for exploration in a prospective but underexplored region of Africa. We have also now established a fieldwork team in the country and have started remote data collection interpretation of the geology over the permits. As you know, Barrick has a single minded purpose in the creation of value for all its stakeholders. And this bar chart shows our performance on this front since the merger. As you can see, we have succeeded by every measure, and will crown this year, as I noted earlier, with a record return to our shareholders. And even with that, we’re still growing the significant strength of our balance sheet. But, I would suggest that’s already history and our focus, as always is on the future. Mining, as I never tire of reminding people, is a long-term business, and a success -- and its success demands sustainability, hence the constant search for and exploitation of new opportunities. At Barrick, we manage this process through our resource triangle. In this model, our exploration teams feed a frequently replenished stream of greenfield and brownfield targets into the base of the triangle. These are filtered through multiple evaluation layers, with the ones that meet all our investment criteria, finally making it to the top of the triangle and a development stage. This is how our triangle looks at present, abundantly stuffed and well balanced at every stage of the game. I think, it’s important for me to stress at the end of a presentation like that that our people are the driving force behind our track record of achievements. Consequently, we see this as a key differentiator in our strategy and actively engage in all actively engage in all areas of our human resource plan at all levels within the business. We believe we provide a great place to work where people are empowered as owners and are inspired to be the best that they can be. And so, I end with a look at our five-year production profile, which like all of our plans, is firmly rooted in reality. We’ve added our gold equivalent ounces in relation to our copper production, in response to interest from investors. And as normal, we will be updating the market with our detailed 2022 plans when we present our quarter four results in the New Year. With the industry’s best asset base as our foundation, exceptional leadership at all levels, and the host of high-quality opportunities I’ve shown you, I believe Barrick is well-placed to achieve its vision of becoming the world’s most-valued gold company. And with that, I thank you for your attention. And we will be happy to take any questions.
Q - Paul Gait: Hi. Thanks very much indeed, Mark. Paul Gait from AzValor. Just one question on the, on the project pipeline, when you sort of look at sort of North America, it’s quite conspicuous. The number of projects that you’ve got there, you’ve got reserve definition but have not yet sort of moved into the prefeasibility stage. So, it sort of goes from 12 down to 3. And I was just wondering sort of what is it that sort of defines that quite sharp sort of step in the number of opportunities there and what the potential could be to sort of get sort of that 12 number sort of more -- just to see more of those in that next category beyond? Thank you. Thank you very much.
Mark Bristow: Yes. It’s a very insightful question. And again, a large part of that’s to do with the Nevada and this strange relationship between Barrick and Newmont. And I’m saying this as a complete outsider. I’m not taking sides here. But, the boundaries, first of all, fences don’t cut off ore buddies. And you had a situation where, Newmont had the sort of infrastructure endowment and a rapidly declining resource, and not a focus at the future. And Barrick had high-quality deposits, very high grade infrastructure that was in the wrong place, to a degree, and focused on paying down debt. So, it was high grading its assets. And so, when we got there, there was very little information base to work on. So, the first thing we had to do was first employ some geologists; secondly, divide them in the skills to focus on the actual operation in the form of mineral resource management to support the planning, the geo-tech, the geo hydrology and extend the extensions of the ore bodies, because they were short. And that's -- if you remember we focused on the 10-year plan. We've done that now. We’re now looking at 15 years. And once we started putting that together, we’ve found a lot of opportunities. This Leeville opportunity, both Leeville North and Leeville -- the Greater Leeville area was an extension of part of the Carlin operations, the Newmont Carlin operations, where there’s been a very wide space drilling program, but not a lot of focus in to model it with their geology. And that's what we’re showing you now the 5 million to 10 million ounce target in that area. And that's taken us some time to drill, because these are deep holes, they have to be well thought through. And the one thing about Carlin deposits is, it's very easy to vector in on them. It's -- but once if you find them, is the tough butt. So you get there in thereabout. But when you do discover them, they’re small but harder -- super hard, right? So the ounces just to leave and that's what you're seeing in that one. So -- and the same with REN, it was right in the middle and we got two others, Rita K upper and lower. Also defines geological models but no drill holes in them, or very little and also some had no hard -- geo hydrology. So just to give you an idea, that is a significant reserve potential, we're not talking about even resources. But to get there, you have to drill them out. So it's taken us 2.5 years, while it's actually only two years in Nevada. And we're now at the stage where we have got maiden resource declarations. The same, Turquoise Ridge, which was owned by Barrick, a 25% ownership of Newmont, and it was using Twin Creeks’ processing facilities. Twin Creek preferred -- they all came from open pit, it was complex, and it was low grade. So Barrick had all this high grade ore, but it was constrained by what Newmont allowed to use in its capacity. So there was never ever any tension in the mine. We came along, took the Fence away. And suddenly it was drinking out of a fire hose, and we didn't have the geology right, we didn't have the geo take rights. So you -- when you have a mine like that and you have super high grades, people migrate to the higher grades, but you get there, and you've got the geotech wrong. So we've only just got to that stage in Turquoise Ridge where we've got complete models now and we can plan with comfort. And to be able to do that as well, remember, both companies were centrally controlled. So a lot of the planning was done on the demand from the CEO rather than the quality and capability of the orebody and we've moved that ownership back to the mine and so now we have a lot more control through the mine of its -- exploitation of its own business plan. And then definitely no greenfields exploration. And the one thing I can assure you that Carlin has still got. My first 10 years as a geologist I never saw a gold grade above like 1.5 grams and this size and a bit wider front and that was about 5,000 meters below surface. So the quality of geology there is exceptional and I've just touched on two key greenfields targets that we've gotten. But again, that's going to take at least two seasons for us to create -- this last year, just to give you some idea, the hydrothermal, geochemical footprints of Carlin deposits are significant. So you can poke a hole above the orebody and you'll see it. But when you vector into the actual orebody is quite difficult. And this Turquoise Ridge Twin Creeks section we think has really got something good. We've already done a pattern of shortfalls just to test and pluck out the geochemical halo. And now we're starting to vector into the target. So it's genuine scientifically led exploration, which is something that hasn't been done for a very long time in North America generally.  So that's where we are and again the portfolio cupboard in Canada was empty. And so we've had to generate our own portfolio there. And that's why North America is so short of advanced harvests, lots of potential resources, we've got to get them through that final filter, but they all have real potential to pass our investment filter. Whereas in AME, in Africa, Middle East, remember Randgold had that, we had -- we can tell you three years ahead our conversions, because it's part of a integrated plan.  Latin America was in the same boat. It was being sold off effectively, because people had lost confidence in that. And also relative to the stress on the balance sheet, it was better and made sense. Of course, it made sense to stay with the North American Nevadan assets, and look to sell off there. And we've worked that all back. And the other exciting thing is when you look at the global map, apart from the Russian and Chinese gold belts, where we are covered, we can go -- we have geologists and mining engineers and lawyers and that in every gold province in the world, and that's what we're busy exploiting now. And I hope that answers your question.  And we also by the way I didn't tell you, we've started now -- we’re building a Asia Pacific team, geologists, mining engineers, legal people, because that's our next big growth mode is around that area, both the Asian part and the Pacific Rim.
Michael Bedford: Hi, it's Mike Michael Bedford from WoodHill. Mark, at company level, your unit cost increases seem to have been remarkably well maintained at a good level, given all the inflationary pressures we’re seeing. Can you perhaps share some light in terms of how you've done that and how you see inflationary pressures in the short-term and some of the sticky ones for the longer term?
Mark Bristow: Yes, so I always -- I mean, I've said this Mike many times. When you act like an owner, you're a lot more obsessed about the cost. And as you know, Barrick is by far a leader in how we -- as we did deliver and grow, and incentivize our executive and load on leadership with equity participation. So we have a significant component of it. And we teach our people to act like owners, where we demand that they do. And so with that, if you look at -- we've also still taking out synergies, benefits from the merger in our discipline. We've taken out about $200 million of direct savings out of the supply chain since we joined forces. And we've got about $100 million to go by end of next year, okay? So, we still have that benefit.  And to just give you an idea, we just -- and we've really -- we have always focused on long-term contracts with dampened abilities for people to change the costs. So, a whole process, we have multiple suppliers. We've just taken -- we just reached agreement with some of our key suppliers, which have resulted in 20% reduction in costs. We have a long-term standing partnership with all our principal equipment suppliers. And again, that goes down to the maintenance side of things. And then -- and we also have a real commitment to change the age profile of our business. So in Nevada, for instance, we changed a lot. And, all of the people, with respect Mike, are not as efficient as younger people, and they don’t come in as expensive. So you get more effective, more efficient, more modern thinking, a better, appropriate engineering skills, et cetera. And we've seen a lot of that and you're going to see more of that. Also, we've moved away from expatriates towards national-centric management. And in particularly in Latin America, you see a big difference. And also in Porgera, although, that's not coming through yet. If you look at -- we've moved the -- Porgera was essentially a province of Australia and everyone worked in Porgera out of Australia, we've changed that, even the Stormont and the [Storhaas] was in Cairns, rather than in Port Moresby. So, we’ve changed all that. And that's a common thread throughout.  Lumwana, we’ve just about halved the mining costs in Lumwana, just because of focus on efficiency, run times, cycle times, obsessed with the transport. And we've got, as I touched on in my presentation, a few more bottlenecks to come through. So commercially, we have some opportunities. On the logistics side, again, we're just so much better than most. Miners are not good logistics people, but growing up in Africa, we learned very quickly. If you can't get the logistics right, you're done. And so, things are consolidating. Freight has been a big boon for us through the COVID and also the ability, our relationship that we brought to the partnership is we can do multiple lines. When we got to Nevada, the principal logistics company was DHL. And so, it's very hard to move a piece to seize 8,000 shovel with DHL to have one of those very big colorful boxes you know. So -- and we've really gone local there, and again a big success. So -- but there's pressure on it. I would just -- my cynical point-of-view, as we know, in mining, a lot of price pressure comes from quality of orebody. And you've heard me say on many occasions, one of the things that this industry and I’d point specifically to our investors, is doing a disservice is sucking out all the free cash in dividends and not encouraging reinvestment. And so you've got a higher gold price. People are exploiting it, everyone's focused on the cash margins, and no one's focusing, as you saw us talk about it today, the replacement of the ounces you mine with the same quality of ounces. And so, those are all drivers of inflation. We would -- if you -- if -- Graham will tell you that our inflation pressure outside the energy sector is 2% to 3%. So, at the same time, we are obsessed about mitigating that every day.  On the power side, it’s bit more. We have this power market, whether it's gas or diesel, or heavy fuel, or even just we're generating power for our host countries at the moment, because no one had anticipated the situation that we're currently experiencing. So that's a bit more dynamic. But again, we've -- we are obsessed about long-term contracts, we have those that support us in Africa, where we use more diesel, for instance. Again, those countries dampen the part of the diesel costs, for instance. When it goes down, you don't get the full benefit; when it goes up, it cushions a bit. So again, those are helpful. And we've done a lot as you saw on just changing our power generation towards renewable energy in a commercially beneficial way. Do you want to add anything?
Graham Shuttleworth: The only other point I would make is just the impact on royalties -- from royalties on our costs. Obviously, both in the gold and copper space, we have seen an impact on our costs from slightly higher gold price in 2021. We're using a $1,700 gold price. And obviously, we've had prices closer to $1,800 but particularly on the copper side, where we were using a $2.75 copper price and copper prices have averaged about $4. So that's another impact, which one has to take into account. So it's a high class problem.
Mark Bristow: Sorry, it just underscores the -- even better performance on an operational sense. Anyone else? Can we migrate then to global questions on the Chorus Call?
Operator: Yes, for sure. Our first question from the phone is from Danielle Chigumira with Bernstein.
Danielle Chigumira : So with the final tranche of the return of capital declared, when, if at all, would you give the market some guidance on the additional dividend that it could expect above the $0.09 a share? Isn't there a balance to be struck between returns and reinvestment and do you think you at that right balance at $0.09 a share?
Mark Bristow: So, Danielle, we promised the market as you know, where at the start of this year, we were unsure about -- we had a big task ahead of us, we had taken on this massive combination of three different entities, significant entities. And we had -- and I've always been a great believer that dividends are driven by performance. What we found ourselves and in the beginning of the year was a windfall cash balance, because of our disposal of non-core assets, a total of 1.7 -- $1.4 billion or $1.5 billion. And we felt that -- again I've always said, because I'm a key shareholder is, when you make more than you plan to make, you should give some of it back to shareholders. And so we felt that it was a good idea to split that and give $750 million back to shareholders and it was on that basis, we explained to the market, and we kept our core dividend of $0.09, which we had increased three-fold from the time we did the deal.  So -- and we've always promised the market we would come in with a more defined, definitive dividend policy, when we spoke to you with our 2021 results and we plan to do that.
Danielle Chigumira: That's very useful. If I can squeeze in one more on the greenhouse gas emission, how actively are you considering the use of offsets, sort of mentioned on the slide? And could you also give us a timeline where you'd have more visibility on the decarbonizing pathway for mining equipment?
Mark Bristow: So as -- I think, first of all, I'll just wait for you to give me a little bit of credit on showing you a roadmap to get 25% checked off without drawing on any form of religion. And the 5%, I'm absolutely confident that we'll add to that taking us to 30% by 2030. Having said that, we're not as we pointed out with our BEVs on underground equipment and we've got many other initiatives. We got a big initiative with major supplier of utility vehicles. And there's swath of more but I mean, just the experience with the Sandvik project, there is no technology yet that actually allows you to plan in confidence.  So we're investing in that technology, whether it's drilling technology -- and again, we think that's quite an important component, whether it's -- we are looking now at our whole transport technology, and every newspaper you open up has got hydrogen in it, but not too many hydrogen cars are driving around. And again, we've got a gap to go through. And we're invested in that thought process. We're invested in carbon sinks, we're invested also in -- or investing in just the reduction of emissions, superefficient traditional engines and energy generation and there's an enormous amount to be head with that. A big migration to natural gas, which again is a significant reduction in greenhouse gas emissions.  So definitely, you're right about vehicle efficiency, that's where the technology needs to really land. And just to reinforce, battery technology, as everyone's got battery. There are so many battery factories. But batteries are -- the big batteries available today, some of the technology is showing improvement, but basically it's just a pack of small batteries. And so, there is still a lot of work to go into batteries and I'll not say our partnership with Sandvik, they have been putting a lot of things, thought and engineering and research into batteries. And again, batteries in a Tesla car and batteries in a 50 ton truck underground, different environment. So, we've got some way to go. But to give you confidence we are fully invested in that. And the vehicle of that investment too is, that's absolutely critical in our Scope 3 emissions because it's all about transport and can we do it better? And again, on our mines, we've got some really exciting projects to take hydrocarbon transport out of the loop or reduce it materially. And that's a big focus for us as well.  And what that does is again somebody asked me today, how much does this cost? The stuff that I've showed you just now, that's all -- it improves the bottom line. It doesn't increase the bottom-line. So, it varies. We have a obsession about making sure we use this in a properly sustainable way.
Operator: Our next question from the conference call comes from the line of Tanya Jakusconek with Scotiabank. Please go ahead.
Tanya Jakusconek : Good afternoon, everyone. Thank you very much for taking my questions. I have 3. Maybe if I could start just with Graham. Graham, just when you were talking about the inflationary pressures and did mention the higher ore price impact on costs, then obviously the Nevada tax that you mentioned also in the press release, should I be thinking inflationary pressures of about 2% to 3%? Should I be thinking as we go into 2022 that the upper end of your cost guidance range would be an appropriate level to be at? Or should I be thinking above that, putting inflation on top of that?
Graham Shuttleworth: Tanya, hi. The -- I think you need to obviously look at that guidance and add that inflation to it. You also need to adjust for those different royalty environments, and you need to adjust for the different power environments. So those are really the three components that are going to drive that. And then as you say, the specific point that we've called out is the impact of the new Nevada education tax, which albeit is a tax, it comes through as a cost. And so that has an impact on those things. So those are really the four things. So, when you look at the current numbers, you've got to effectively add those to it. But having said that, obviously, as we look towards next year, and we look towards our plans, we've talked about some of the challenges that we're dealing with in our business. Mark mentioned the slower ramp up at Hemlo and some of the other areas. So those things will also have an impact on our costs and on our planning. So it's a combination of all of that. 
Mark Bristow: I'd add to that too in that is, if you take Hemlo out of our numbers, and you except the other impacts already embedded in our numbers, our numbers are below 1,000, all-in sustaining costs. So again, when you're looking at the range, Hemlo is a slightly different animal. Again, we'll bring those costs down from where they are today. But if you look at the run rate of our assets, and then you've also got to consider the grades and the orebodies that are going to be mined, because, we -- remember, we are focused on dollar per ton. And the discipline on the orebody side with our $1,200 gold price reserve limit. So it's a complicated question to answer. And the best thing -- if you want some advice, the best thing is wait till February, and we'll tell you.
Tanya Jakusconek: I guess what I'm getting from you is that sort of a 3% to 5% inflationary environment, I do get inventories that you have et cetera is sort of reasonable.
Mark Bristow: And where I said to you -- as Graham said, take the range and jack it up. So it's still arranged. It's not just taking the top end. 
Tanya Jakusconek: No, I understand. And maybe Mark, if I have you on, I would just like to have two other questions for you. One, I wanted to talk about just Nevada Gold Mine. You mentioned the vaccination rate of 32% I think in the U.S. And I mean, I just kind of think of that number, and I think of the productivity, absenteeism with that number, what sort of impact are you seeing on absenteeism and productivity in Nevada Gold Mines? And yes, maybe we start with that, and how do we get through and prove this vaccination rate?
Mark Bristow: Yes. So again a very pointed question and well posed. The -- so Nevada Gold Mines led the fight against COVID in that first wave sort of infection rate around the world. We didn't miss a beat. We had -- as the infection came, we were ready at warning the Governor of Nevada, he better pay attention. We were -- we had instituted protocols when Vegas came to a grinding halt. So the protocol process worked really well for us. And again when the first round of vaccines, the first uptake was pretty good but very quickly the Southern part of Nevada overtook us. And there's a big political and social issue relating to the vaccine. What we have done is we've got various incentives in place. We have very strict protocols in Nevada. So the deal is, until we get a herd immunity, we are not prepared to put our workforce at risk, so you wear the masks, you do your hand cleaning, you keep your distance, everyone. So even the ones that are vaccine. And we did the same Tanya in Canada because again, there was a big anti-vaccine movement in Canada for a while. But the government there helped us because it made it so difficult for you to even have a meal, go anywhere, watch a football game, or a ice hockey game. And so the population very quickly moved to embrace vaccination. And then we mandated it. And we didn't lead the mandate. And we were completely aligned with society in managing COVID, the same in Dominican Republic we’re 97% vaccinated. Again, that was the President who led the way. It's a tourist destination and he just -- he was way ahead of the rest of the world.  Argentina started very hesitantly but it's also in our operation. We haven't had a positive case up in Veladero for about four weeks now. And so the challenge here is, and then we've just surveyed our workforce in Nevada, and one of the clear messages is people don't want to be treated like children. And the whole American approach to this is, like, no one really cares about the individual, if it's not coming out of CNN, or FOX News or the White House, then it must be wrong. And people take offense to that.  So, we've really engaged with our workforce. We've changed our approach to treat them like adults which they are, we respect that. So first of all, we want people to ensure that they care about their fellow beings, and I don't think we see much disparity activity when it comes to that. That's not the intention. But -- and so we have had a recent fill-up to get to the 32%, quite a significant, I think it's about a 6% improvement. And we've really changed our approach. We have mobile vaccine clinics. We are doing this along with the normal seasonal flu vaccines. We've got a very big education program, and we'll just keep banging away at it.  At this stage, we had another spark in line with everyone's fourth wave spark, but it's backed down under control as we really pushed protocols and I've got every confidence that we'll get there. And again we are talking about freedom of choices, we respect. At the same time, then you need to be able to not let your fellow workers pay for your medical insurance, because you've decided to take on that risk yourself.  So, those are the conversations we are having in an adult forum and we certainly are seeing a difference. We have had a high degree of COVID cases without any symptoms. And so -- and we are building that immunity anyway in the community. The problem in Northern Nevada tiers there a lot of people with morbidities. And so this virus, that's the real -- it's a killer when you get -- pick this virus up and you've got any sort of untreated morbidities.  So I think it's a very challenging social task that we have to do. We've done it around the world and we have kept Africa safe and operating, because the rest of the world neglected or denied Africa access to vaccines for a long time. And now we're getting them in and every time we get a batch in and we distribute them immediately. So it's a challenge. And the mining industry is grappling more than anyone because we need people to go to work. And I would suggest that Barrick's approach to this has so far been the appropriate sort of measure to deal with it.
Tanya Jakusconek: And have you seen that productivity impact from this in Nevada?
Mark Bristow: Yes. So there is Greg on the line. He's the expert.
Tanya Jakusconek: Sorry, go ahead.
Greg Walker: Thanks, Tanya. Just a number for you. Just last week we had 20 positive cases. We had over our 7,000 employees, we had 60 people off work. So, you talked about the absenteeism, right? That’s about what we are looking at. So, we are less than 1%. It does impact production, as you get a cluster of people in a particular area as far as you have a drill crew and the whole crew based down, there'll be a short-term impact -- for up to 10 days or 14 days while they clear and come back to work. So, the impact has been -- there has been an impact but it's very minimal from the production perspective. So they are the sort of numbers we are looking at. As Mark said, we peaked about four or five weeks ago, but the numbers have started to come down dramatically and it's not impacting our production significantly.
Tanya Jakusconek: And one last final question, if I can, for Mark. I'm just intrigued about, you mentioned, you're looking at your dividend policy for, when you report your financials in Q1 of next year. I'm just trying to think about your stock. It's very cheap. And I'm trying to understand how you balance and would you look at share buyback versus the dividends or combination of both? Thank you.
Mark Bristow: Tanya, we would look at anything. As you know, we look at this as a holistic measure. The most important job that we have is to ensure that we invest in our future. We have always -- Graham and I in our whole career have built out dividend policies or returned to shareholders on what the company delivers as far as a P&L goes. So you need to forge your dividend, particularly in the gold money industry. And buybacks have a role. We did the first compulsory buyback in Randgold here in London ever. And there is ways to do that. And at the same time, the market and analysts have a say in the valuation. And again, we see the value of sitting in Barrick has a very attractive investment opportunity. And we've got no doubt that there are many people that have already started taking on that, they're taking that opportunity. So, we never say never. There’s definitely opportunities on share buybacks. But the one thing that we have absolute agreement and I do the same with my Board is we do not try and manipulate -- we don't believe that buying shares or dividends or anything is, if you want to do it to manipulate your share prices, we are not here to do that. We are definitely here to take opportunities when we see that our share prices are significantly undervalued.  At the same time, we are mindful that there are lots of owners that can do with a reliable dividend going forward. And to do either of those, you still got to deliver a highly profitable business. And we've only been at this 2.5 years. We’re competing with companies that have been around for a lot longer. So we're working on it.
Tanya Jakusconek: I appreciate it. If you trade below bullion value, your shares should be purchased.
Mark Bristow: I see too many analysts giving us sort of significant values that would suggest that we should be doing that, so.
Operator: Our next question from the conference call is from Jackie Przybylowski with BMO Capital Markets.
Jackie Przybylowski : I think I just wanted to follow-up on a comment that you made earlier Mark about investing in Canada. And you mentioned prospective trends in Canada, it just mean that your thinking today is more on the greenfield side. Can you maybe talk about how you're seeing the growth opportunities, maybe in Canada contrasted with the rest of the world? I know when I saw you in Denver you've mentioned Pakistan as well as being potentially interesting. And I know you've got a lot of other exploration initiatives on the goal. How would Canada fit in on that pecking order?
Mark Bristow: So I think Canada is right up there with the most prospective. As I've learnt about Canada, one of the things that I think I see is, it -- sort of the mineral industry -- and I would hate -- I wouldn't call it exploration, but the mineral opportunity industry goes from one gold market to the next. And most of it is managing a portfolio that sits on the shelf during the trough. And sure in the trough there is a little bit of additional addition to the inventory. But there's the -- it lacks real exploration and it has done for a while. And so you will recall, Jackie, early -- before COVID, so late 2019, I was talking about exactly that, and that we made a decision to go out and build a world class exploration team in Canada. And we had enough legacy projects within Barrick to be able to have a appreciation of what is there. And we've done that. And at the same time, we've also participated in every single vending exercise in Canada, so that's taught us a lot as well. And we don’t dismiss opportunities to acquire things as long as we can deliver as we've always demonstrated value. At the same time, we see a lot of value and in Canada we have the absolute capability of, one, recognizing it; and two, evaluating or chasing it up the value curve. So that -- it doesn't mean to say that we won’t snatch an opportunity that arises. But if you look at my history, it's always been a grounded in organic growth. And I think, at the same time we're not scared of stepping into a ring when there's a quality prize up for grabs. So and I don't think we will change that strategy.
Jackie Przybylowski: Understood. I just -- I mean, I was hoping we get a comment from you too on Reko Diq. I know in September, you talked about that, it seems something you guys were potentially looking to get back into. Is that still the case? Or is that something that maybe we should think about as a much longer dated opportunity?
Mark Bristow: No, it's a very real opportunity. We work very hard at securing a award. And as you know, when I stepped into Barrick, there were a lot of conflicts with host countries, and we've slowly ticked them all off and converted them into a win-win situation, genuinely, not sort of -- some sort of abstract win-win. And Reko Diq is a world class assets. It's rarely there because of the investments that Barrick and Antofagasta made in the joint venture and it sits in the upper echelon of quality assets. We have an opportunity to develop it without having to pay for it, because we've already got the award because we already did the initial work. And at the same time, we earn our own award back and the host country gets the benefits alongside us, and everyone wins. And in this modern world, as you think you can go and extort a whole pile of cash from emerging markets, it's not going to happen. So -- and we don't have the risk of any upfront investment. So that asset makes sense for us to look at and we will we are looking at it. We will continue to engage with the host country governments and other stakeholders to see if we can deliver it in a way where we manage the Barrick risk, investment risk; and at the same time, deliver real value for all the stakeholders as we do in all the countries we work in. So that's the way we look at it.
Operator: There are no further questions register in the conference call, sir.
Mark Bristow: Thank you, everyone. I appreciate your time, and I look forward -- and again, we're all available to take questions if you want to -- if you haven’t sort of one yet and you do, please reach out to myself or the rest of the team or just get hold of Lois or Kathy and ring us a question roll, we'll be back with an answer. Thank you very much again, for those who made the effort to come in today. Appreciate it. Thank you.